Operator: Good day and welcome to the Match Group report's Q2 2016 Results Conference Call. Today's call is being recorded. At this time, I'd like to turn the conference over to Lance Barton, Senior VP of Investor Relations. Please go ahead, sir.
Lance Barton: Thank you, operator, and good morning, everyone. Welcome to the Match Group earnings call for the second quarter of 2016. We are very delighted to have everyone join us today. Here with me is Greg Blatt, our Chairman and CEO; and Gary Swidler, our Chief Financial Officer. You can find an investor presentation on our Web site that we're going to run through those slides on the call to you today. And then we will open it up to Q&A afterward. But before we get started, I’d like to -- do a few housekeeping things and remind you that during this call we may discuss our outlook and future performance. These forward-looking statements typically may be proceeded by words such as we expect, we believe we anticipate, or similar statements. These statements are subject to risks and uncertainties, and our actual results could differ materially from the views expressed today. Some of these risks have been set forth in our earnings release and our periodic reports filed with the SEC. With that, I'm going to turn things over to Greg.
Greg Blatt: Thanks, Lance. Good morning everybody. Q2 was another great quarter. I know people get caught up sometimes in the minutia of this process as our revenue, as our EBITDA beat etcetera. From those perspective this is clearly -- really good quarter. But we sort of look it on a broader basis, long-term. Are we building the businesses we set out to build? Are the things we wanted to be happening actually happening? From that perspective, we also think Q2 is a really good quarter. But we look at quarters, and we expect that to continue going forward. We’ve laid out a plan and connects with the IPO. We’ve been delivering on it consistently quarter-to-quarter. And here the big point before we get to the slides. Tinder growth is fantastic. We’re investing in big product initiatives to drive that growth well into the future and we couldn't be more optimistic about its outlook. Our other international businesses also continue to do great across multiple territories. We’re driving meaningful conversion improvements primarily through mobile product work, which is on schedule to deliver our North American businesses back to PMC growth in the first half of 2017. These are the big building blocks of our plan. We're on track on all of them. Really the only part of the plan we're behind is on building our ad business, which we set to the outset which could be the shakiest in terms of timing and predictability in terms of how quickly it would ramp. And even that’s only behind because of everything else that Tinder is being going so well, that it's been demanding double down attention. But we’ve ramped up in the ad business, to be able to tackle this opportunity and we’re actually committed to doing so. So really confident about where we are. We feel good about sort of the predictability and the fact that the things that we thought would happen have happened. And we really do expect this progress to continue. Now let’s hit the slides. Slide 4, pretty straightforward. Great growth at Tinder, PlentyOfFish, real good performance at Meetic. North America is on pace for its turnaround. We will talk about that in some detail a little bit later. We got some headwinds at OurTime. So we cut back on marketing spend in the quarter, which helped EBITDA in Q2, but hurts revenue little bit and will hurt both a little bit next quarter. As an aside, hopefully the upside of that is that it debunks the myth that Tinder explains all things in the dating category. OurTime is sort of without competition. It’s a little behind in our mobile progression, just because of the allocation of resources to it. And we’re quite confident with the brands and our ability to bring that back through continued product work and marketing. But that is a little stumbling block in the quarter. Also really exciting, the Japanese market is starting to pick up for us. We had solid performance in our Pairs business, which we acquired last year. Tinder in Japan is taking off and Match Japan, which has been around for a long-time, is at an all-time high in terms of PMC and has good momentum there. The second-biggest economy in the world I think. It has been a long-term category resistor. So if we can get this trend to continue, it marks real upside for our business. Slide 5. Obviously Tinder just continues to roll. On track, on PMC, we did a June release that’s focused on Tinder Plus, a series of optimization, a few new features, just continues to show the elasticity of modernization in Tinder. The improved conversion, we increased ARPU, renewal rates continued to be great. And you look at the graph on the bottom right there, on a global basis excluding games, Tinder is now the number five grossing app in the world, behind only Netflix, HBO, Spotify, and LINE. Really getting into some heavy company there and really just on a fantastic role. I think the headline sort of going forward is we've more than double the headcount in the last 12 months predominantly in product and technology. We expect that to continue. There are far more exciting things for us to do than we can, given our resources. We've got a new management team firmly in place now. It's really starting to operate effectively and we’re scaling underneath it against a wide variety of initiatives. So, we feel really good about it. One of those initiatives, Tinder Social, we launched in the U.S and several other English speaking countries last week. This is sort of a big deal, not because it’s a new product future, but because it really is an entire new playing field for us to play on. Natural adjacency, it expands our audience, reduces the stigma associated with the dating category, really unlike a feature that you launch. This is a playing field that you should expect us to be playing on for a while, meaning we’re going to launch feature after feature in this area without neglecting the core business. But we really think this is an exciting opportunity for us and we’re really going to invest heavily in it. Switching to Slide 7, just sort of playing off of the Tinder Social example, we really have become a amazing and unparalleled product and technology sort of operation in this category. We got over 500 people across the Company who are working on Product and Tech. We know this category is going to continue to growth nicely. So the challenge for us is to make sure that we are offering the products and services that people in this growing category want. Product is the key to that, while we have separated product groups across the businesses they are increasingly working in a coordinated fashion. This slide is intended to sort of demonstrate that. It sort of have three buckets. One is, where you have individual businesses to develop a feature that works really well, our ability to rapidly deploy that feature across all our other businesses. It's something we're doing. You got the Android Native App at Meetic, Premium Privacy Offering we developed at Match that we’ve now rolled out at Meetic, OkCupid, and Tinder, etcetera. So the whole bunch of things there that have been pioneer to the certain business and then deployed across the other businesses. Next is sort of the big initiatives that we know we need to attack on the category. Messenger Bots or something that are coming and we’ve got the Meetic team working on that. The Match team is working on artificial intelligence and its matching algorithms. Meetic is working on third-party integrations, Match Location features etcetera. So, these are all things in a coordinated fashion rather than having all these teams working on the same thing at the same time, we are sort of divvying them up, so that you're really getting the scale benefits of a unified product team, even though its organized individually. And then finally incubating new businesses. Tinder was the last meaningful businesses -- business that we’ve launched internally, but before that there have been a bunch, some of which had some impact, some of which didn't and we continue to be very focused on that. We're testing a new app right now. We got another one that we expect to test in the remainder of this year, and then there are three additional products that we’re working on. There are standalone products that we think have potential. So, we expect to continue to be an R&D shop, a product shop, a technology shop and when you look across the category there is no one else who can come anywhere close to that. So we really are in it for the long-term in a growing category. We think this is a big competitive advantage. Switching to Slide 8, I want to spend some time on this, because we’ve talked about conversion a lot for a while, especially mobile conversion. It's been a headwind for us in the last few years. And we told you we think it's going to start turning around both because of increased product focus and the slowing mobile mix shift. On this slide you start to see the evidence of that and it really is the underlying key to the turnaround in our North American businesses that I know people are focused on. On this slide, we see the slowing mobile mix shift trend we’ve been highlighting. 74% of mobile in Q2, the pace of increasing mobile shift had certainly slowed. We talk about conversion. We see that mobile mix shift has been a big driver of conversion, and we see here real improvements in the 30-day conversion number, 7% up year-over-year in Q2 across all our businesses. I said before that conversion can be sort of a squishy number. A lot of things can impact it, pricing, discounting, reg [ph] capture, new marketing channels etcetera. So we don’t want to be too granular here, because it, frankly can be misleading on a period-to-period basis. But when you blend it all in together, you look across the business, across platforms, it really is demonstrative. ex-Tinder were up 7% year-over-year. This is driven by much greater than 7% improvement in mobile where the focus is. So the mobile number is meaningfully higher than 7% and that's really where we put our focus. I think that from a North American perspective, if you pull PlentyOfFish out of this, which sort of is in these numbers. You see that prior to Q1, we had seven straight quarters of this number declining, okay. So we’ve been on a continuous multiyear conversion decline, which turned in Q1 of this year. And now we’ve got two solid quarters of conversion improvements after that and that's really why this turnaround is on track. The other piece of the turnaround is marketing. We’ve told you that we cut back on marketing as conversion declined because the ROI decision is strong, that’s just basic math. We also told you that we would start to increase marketing spend as we rebuild conversion. So if you look at this year, North America ex-POF, ex-tinder, Q1 through Q3 of this year were down year-over-year in marketing spend, right. So you'd expect to have the PMC trend that we’ve had, because we’re not spending as much on marketing. As conversion builds, which is now doing, we’re going to start increasing spend. We expect Q4 marketing spend in those businesses to be meaningful year-over-year and we expect that to continue into 2017. So you really have two things going on. You’ve got improving conversion, increasing marketing, which take us from effectively the trough in average PMC that we’re at right now in these businesses and builds it back up into growth in the first half of 2017. If you think back to that Meetic analogy side from last quarter, it show that the first thing that starts to change is your quarterly net ads number, which is your change in subs in period. It hit the trough in terms of year-over-year decline, then the decline start to get smaller and then they turn positive. This quarter is the fifth consecutive quarter for our North American businesses in which net ads are down year-over-year. But it's also the smallest decline and we expect it to be the last one for a while. Next quarter, we expect that line to across the horizontal line. We expect Q3 to be positive in terms of net ads, and we expect that to continue. So again, we are on schedule on our North American rebound. The same schedule we laid out and connects with the IPO that we’ve been touting each quarter. The evidence is coming through in terms of the improved conversion and the declining net ads lot and we expect that to continue to go positive next quarter. Switching to Slide 9, our advertising business. We are going to drive meaningfully more ad revenue at Tinder in '16 than '15, but not as much as expected. The primary constrain has been internal competition for product resources. The reality is in order to build the ad business you need to do things to product, you need to add in a variety of capabilities. And the reality is that they have not been able to get on the product roadmap. We've been focused on building Tinder Social, launching that. We've been focused on the Tinder Plus initiatives, and there really is the bottleneck at this point in terms of our ability to get the advertising business up and going. We’re now building a dedicated product and tech team to deliver that. Similarly to what we did with Tinder Plus, if you remember -- throughout last year it was always a question of where we’re going to work resources to Tinder Plus or to other things? Now that's no longer an issue. We’ve got a dedicated team. We are working to create that dedicated team in advertising. But again, there are just so many exciting things going on that we just haven't been able to get on that roadmap. So, we expect that to change in the balance of this year. On our other businesses, we’ve been able to increase CPMs nicely year-over-year, but impressions are down, driven by mobile and that's just a fact of life. As we've rebuilt our mobile products, they’ve been primarily focused on direct revenue and now we’ve to begin to optimize them for advertising as well to start getting additional impressions and that sort of thing. Start building native placements and creating a more endemic advertising business in our mobile products. Next steps, that will go through here, but if you can see they're all sort of technology enabled which is why getting on the roadmap is so important. I think that looking back and sort of looking at the impact for the year, you've got a slower than expected revenue ramp. Its meaningful. We expect it to have big increases in Q3 and Q4. We just haven't done the product work to enable it. Nonetheless, we ramped up the business to be able to do that. We grow and hedge meaningfully. We are going to have approximately $10 million higher run rate this year on OpEx relating to advertising that we did last year without a meaningful increase in revenue. So, the short-term impact of that is a margin squeeze in the second half. Long-term impact is we are fully committed to this business. It is not a question of us not wanting to do this, we’ve built up the team to do it. We’ve got a bottleneck on products and technology, sort of in the businesses, not in the ad sales group. We are working to break that down, but we are committed. If I sort of knew than what I knew now, we’ve sort of delayed hiring a quarter or two and sort of ramped up a little bit later, probably but we've taken the position on Tinder, in particular, and we’re going to be aggressive that at a business of this stage being able to mark expenses to revenues perfectly symmetrically is just not viable without leaving opportunity on the table and we're in growth mode here. So it certainly is a little bit of a negative on the back half of the year in terms of EBITDA margin, but it's very positive in terms of our overall outlook and we expect this to be a meaningful contributor next year. I also should make the point other way. We make it again later, that we completely offset the indirect revenue shortfall with the direct revenue surplus, which is really where the product and technology resources went. In other words, we had to make a choice. We could both launch Tinder Social and drive the Tinder Plus revenue and drive the ad revenue all in the same period. We just didn't have the resources, we're getting them and again we feel very positive about, but where this is, it's just coming a little slower than we expected. With that, I will turn it over to Gary, for some financial stuff.
Gary Swidler: Great. Thanks, Greg. If you slip over to Slide 11, for the Q2 results, you can see we had a very strong quarter from a revenue, operating income, and EBITDA growth standpoint. Slide 11 listed on as reported basis. Back on Slide 16, we show it on a pro forma for the POF acquisition basis, which is how we look at the business and its strong across all metrics. We had outperformance by Tinder and Match North America. It was partially offset by weaker performance at Match Affinity, OkCupid, and our advertising business as Greg just went through. We exceeded expectations on EBITDA, as we spend a little less on marketing in the quarter and we also shifted some expected costs from Q2 to Q3. Non-Dating business was flat year-over-year, because the SAT test prep revenue remains lower than we expected after test redesign. Our Non-Dating business did move closer to profitability in the quarter and continues to execute on its strategy of moving the business online and increasing cross-selling. The Company's margin improvement story also continued well in the quarter, as a larger percentage of revenue is derived from brands at lower marketing spend. Operating expenses, particularly sales and marketing, declined as a percentage of revenue in the quarter. If you flip to Slide 12 on ARPPU, ARPPU was real positive for us in this quarter. Our ARPPUs increased sequentially in all regions. We saw stability to slightly positive moves in rate across our North American brands. Tinder saw improvement in ARPPU this quarter compared to last as the a la carte revenue which they sell only to existing PMC drove higher ARPPU. Tinder ARPPU internationally was up very strongly. I’m going to now turn it back over to Greg to say a few things about the outlook and then I will take you through the details.
Greg Blatt: Yes, just looking at the full-year, our revenue expectation is unchanged from what we said in the last quarter. There is a mix shift as I mentioned, higher direct revenue mostly from Tinder replaces indirect revenue, again mostly from Tinder. In terms of EBITDA, our numbers come down a little bit due to increased ramping of headcount at Tinder. As I said, we're pushing hard there to be able to do all the things we want to do. There is a meaningful increase there. We exceeded our headcount expectation already for the year a while ago, and as we brought in the new Management team and we started to layout the ambitions and plans, there's just so much to do. So, I said that could happen. I’ve been saying that its happen all along. We're excited that the opportunity justifies the investment. Additionally, the higher direct revenue that we have, and remember the ad revenue comes with IAP fees and so that's just math. So, overall this number comes down a little bit, but it's really all driven by increased opportunity, increased aggressiveness, and we feel really good about the fact that we're in a position to invest in these businesses as we are. Gary, if you want to take the quarter-to-quarter?
Gary Swidler: Just a couple of comments in the quarter. We say 2% to 3% sequential dating revenue growth. If you go back to our fourth-quarter call, we talked about 5% to 7% sequential revenue growth through the course of this year, but we had a stronger-than-expected performance in Q1 and a stronger-than-expected net performance now in Q2. So if you go back and do the match, this 2% to 3% lands you squarely within the range that we laid out on the Q4 call. So, as Greg said, we’re continuing to execute on our plan that we laid out in the IPO and deliver the results that we’ve been forecasting. In terms of EBITDA margin, we had a very strong performance in the second quarter as I described and we’re expecting the margins to stay roughly in line with where they were in the second quarter, again here in the third quarter, coming up. In terms of the fourth quarter, we're forecasting 4% to 6% sequential dating revenue growth. So more in line with what we laid out back earlier in the year. And again that's driven by significant shift from indirect revenue over to direct revenue. The margins for the fourth quarter we're anticipating will be in the mid 40% range. We had some seasonal effects in the fourth quarter and that’s kind of typical. If you go back over time you will see that, that margins due increased pretty significantly in the fourth quarter, so we are expecting the same thing this year. In terms of the Non-Dating, as we said we manage this business really for progress on its stated strategy and for positive EBITDA. We are less focused on the revenue growth. We are expecting modest aggregate second-half profitability in the business, which we think will be enough to offset the losses we took in the first half on this business. So the business should be modestly profitable for the entire year, which is what we've been stating all along. Typically the third quarter is the strongest for Princeton Review and we're expecting this year to follow that same seasonal trend. On the -- I will leave the outlook there and I will go to Slide 14 just for a minute. This business continues to have incredibly strong cash flows. We are predicting mid-50s adjusted EBITDA to free cash flow conversion rates in 2016. You could see what we’ve done historically is consistent with where we've been historically. We have relatively light CapEx needs in the business. We forecasted 3% to 4% for 2016 and we’re tracking well to that. So if you do the math through that and take the recent stock price of ours, you can see we’re expecting for 2016 a roughly 5% free cash flow yield, which we think compares incredibly favorably to where other companies like us are priced in the market. We’ve also built our cash very significantly since the IPO. You see we started a $50 million of cash at the IPO. We’re up to $174 million of cash at the end of the second quarter. Our leverage has come down as our EBITDA has grown. We are up 3.5x gross levered and net leverage of about 3x. and we expect that we will use cash to delever down below 3x gross leverage over the course of the rest of the year as we’ve a lot of domestic cash, which we’ve been used to pay down debt. Absent some compelling M&A at opportunity which we don’t see in the short-term. We believe that delevering continues to be our best use of cash at the moment. That is the formal slide presentations that we’ve taking you through. We will now be happy to open up the line for questions.
Operator: [Operator Instructions] We will take our first question from Douglas Anmuth with JPMorgan. Please go ahead. Your line is open.
Douglas Anmuth: Thanks for taking the questions. First, I just wanted to ask you about Super Likes. It feels like they’re driving more in incremental revenue perhaps than incremental PMCs. Can you just talk about that a little bit, kind of your outlook going forward? And then there is obviously a lot of talk during the quarter about some of the potential benefits from the App Store shift in economics. Can you talk about that as it relates to both Apple and potentially Google going forward for you? Thanks.
Greg Blatt: Sure, Doug. Look, Super Likes drive both, I think when you think about PMC growth or PMC would drive conversion is there are a variety of features behind the paywall. And different features will get different cohorts to subscribe. So some people may subscribe because they want to avoid the daily right swipe limit. Some will subscribe because they want additional Super Likes and some will subscribe because they want our Passport feature. And so the we have internal metrics that allow us to sort of get a good sense of what’s driving it and Super Likes is certainly a meaningful driver of that. We also provide the ability for those subscribers to buy additional Super Likes and when they do that, that drives ARPPU. So it drives both. I mean if you think about it, I want to try get this math right. If you assume -- if you’re a subscriber and you get -- anyway, I don’t want to try and do that, the pricing math, but it’s a meaningful driver of both. And we continue to sort of optimize between those things at all times, right. So, I said throughout that most features could be presented as a subscription feature or as an à la carte feature or as both and you’re constantly optimizing how that works and I’m sure we’re not through optimizing at this point, but right now it's definitely a driver of both pieces. In terms of the App Store stuff, Apple has made some changes to its policies, Google has not. In terms of Apple's policies, there are some benefits for us, not that meaningful. I think that as we’ve talked about, we’re really a periodic consumption business. People will use that for a period of time on average and then they will not use us for a period of time, then they will use us again. And in general, our core usage patterns don't really fit into Apple's sort of post year one, which I think it's like a 60, you can't leave for more than 60 days and that tends not to be our pattern. So there is some benefit there, but I don’t think it's that material. I think that clearly this is the first movement in App Stores in a long time. I think that it is a changing world. I think that they do feel more competition from mobile web where that’s by far the biggest part of our business, so I think it's absolutely possible that those rules could continue to evolve both at Apple and possibly at Google, but we don’t have any special insight into that. So for right now I would say the change is not that material for our business, but over time things could change.
Lance Barton: The next question please.
Operator: Okay. And we will take the next question from Dan Salmon with BMO Capital Markets.
Dan Salmon: Hey, good morning guys. Maybe one question for Greg, and one for Gary. Just spend a little bit of time on Tinder Social a little bit more and what you think about long-term for monetization of the investment there. Is it the type of model where sort of freemium/premium model fits, where advertising fits or maybe the sort of value added commerce services around that type of social behavior? And then, Gary, just to understand the movements in revenue guidance and Dating revenue being maintained for the year, you came in above the guidance range for sequential revenue growth in the second quarter. Were there some things that just sort of came forward a little bit? Just if you could shed a bit more light on that. Thanks.
Greg Blatt: On Tinder Social, I think that people buy Super Likes on Tinder Social. Tinder Social when it drives swipes, drives people to the right swipe limit. So, our current monetization system in and of itself works on Tinder Social and in fact we saw nice little pick up this weekend in monetization after we launched Tinder Social. So I think the first response to that is that it fits within our existing monetization framework. Beyond that, I do believe that it presents multiple, especially as we build out in the directions that we think we’re going. Multiple opportunities if you start to go into sort of not just who am I going out with, but where am I going, it starts to create events and sponsorships and a whole bunch of things I think are less obvious on sort of the core Tinder product. But I think that the initial purpose of Tinder Social is about engagement, broadening audience etcetera. It is not being laid out for monetization opportunities in the near-term. It's really about driving engagement, bring in new audiences sort of creating a more coherent sort of tool for planning your social life out. And we think it’s a big first step and we think the -- it will both drive monetization in its current form, but also does present additional opportunities.
Gary Swidler: And then, Dan, on your question around kind of the revenue trends, as we kind of go through in the slides, Tinder and Match North American really drove the outperformance in the second quarter. So we had some higher revenue there than we’re expecting. In the third quarter, we’re seeing some softness in our Affinity business, some softness in the advertising versus what we expected which Greg went through, and then we’re seeing some strength in Tinder. So those are kind of the moving pieces in the second and the third quarter.
Greg Blatt: Yes, I think the loss in the -- the loss or sort of the shortfall in ad revenue that we talked about is most pronounced in Q3 and Q4, because that’s when we had it building. I also, as we said, we cut back on some marketing spend in Q2 on Affinity and that will have a revenue impact that really hits in Q3. And so that’s really the Q3 story. Again, made up by Tinder somewhat and made up even more so in Q4 by Tinder is that continues to roll.
Dan Salmon: Okay, great. Thanks, guys.
Operator: And we will go next to Ross Sandler with Deutsche Bank. Please go ahead.
Ross Sandler: Thanks, guys. I had two or three questions real quick here. So first on Tinder, how do you guys compensate Tinder employees given that it's a fast growing start-up amidst other wholly-owned and acquired entities? Did they get Tinder equity or Match equity? And if, the current strong trajectory continues and the market may or may not necessarily appropriately value Tinder, I know it's fairly early post your IPO, but would you consider doing something strategic like IPOing or spinning Tinder at some point? Any thoughts on that idea? Second question is just on Tinder DAUs. Can you give us an update on that number today versus the 9 million you talked about a year-ago, and that's one. And then the last question, Greg you said that the PMC growth ex-Tinder will start to stabilize and pickup when you increase marketing, exiting this year, so should we expect that to grow kind of mid single-digits or how should we think about that ex-Tinder piece in 2017? Thanks.
Greg Blatt: Okay. There is a lot there. On Tinder compensation, we’ve compensated Tinder people, and obviously they get salary. But on the equity side, not unlike we did at Match as part of IAC, people at Match, myself included got equity in Match, despite the fact that IAC was the public company. Now we’ve got OkCupid people and OkCupid got equity and OkCupid even though was part of Match. And then right now people at Tinder generally have Tinder equity. They also have some Match equity sort of depends on the mix. But they have Tinder equity in a very similar program to what we’ve used throughout Match and IAC historically. So they’re incented on Tinder equity value creation primarily. In terms of whether we do something strategic, my God, you guys are insatiable. Usually we’re answering questions about when is Match getting spun off from IAC, now we’re answering questions about when is Tinder. Now, look I think we’re open to anything, right. We are about value creation. I think that unlike Match and IAC, what I think there is less sort of operational integration. There is a lot of operational integration between Tinder and the rest of Match Group. So, the concept of a spin-off, of course is possible, but certainly nothing we would consider in the near-term because frankly that sort of synergistic integration is driving a lot of Tinder's growth. You look at Tinder Plus, the subscription business, the Match Group know-how and influence and involvement in that I think it's been really instrumental. Really I think there are a few -- I’ve never really seen -- the monetization of business goes smoothly as this has from sort of a standing start. So I think anything is possible if there became a meaningful discrepancy in valuation between Tinder as a standalone entity and Match Group, we would absolutely focus on it and do what was necessary to solve it. But it's certainly way early for us to be thinking about that right now. In terms of the growth rates for -- I think what you’re asking is North America ex-POF, ex-Tinder because obviously we’ve got solid growth in our international businesses ex-Tinder, the solid growth at POF etcetera. So narrowing down to those three businesses. I think what I said is that sort of we’re at a trough right now that should last for another quarter. Q4 that starts to narrow, the average PMC decline starts to narrow meaningfully and that turns positive again in first half of '17. I think in terms of year-over-year average PMC growth rate '17 over '16, it will be a little noisy because you will had declines in the first part and then up in the second half. I expect it to be modest for those three businesses in '17, although we've not prepared to fully talk about '17 sort of expectation at this point. But sitting here right now that would be my expectation is modest year-over-year average PMC growth in those businesses, '17 over '16, with, again outpaced Tinder and obviously, then POF and Meetic and everything else doing better which again gets too if take long-term what we've talked about, we’ve talked about ex-Tinder, these businesses growing average PMC in sort of a mid to high single-digit sort of range with operating leverage and revenue leverage and that continues to be our expectation. I will -- I need to look at the -- I mean, the DAUs are up over last year nicely. We don’t give that number, but it is meaningfully up versus the 9 million that we talked about, I guess at Q4 or the IPO, whenever that -- in Q4.
Operator: Thank you. We’ll go next to Eric Sheridan with UBS. Please go ahead.
Eric Sheridan: Thanks for taking the questions. Maybe just two. One, when you layout the investments you’ve sort of called out for the back part of this year. How should we think about the first part of next year as you move into ’17? Is this scenario where you continue to see places to put money to work to invest for the long-term or to continue to drive subscriber and user value, or how should we think about leverage on these investments as we move past second half ’16? Second question would be on geographic expansion. You called out Japan on this earnings call. Just curious how you’re thinking about some of the other geo’s where you see potential for either organic or inorganic growth on a global scale? Thanks.
Greg Blatt:
t:
Gary Swidler: No, I do agree.
Greg Blatt: Okay.
Eric Sheridan: Great. Thanks for the color.
Greg Blatt: No problem.
Operator: We’ll take our next question from John Blackledge with Cowen and Company. please go ahead.
John Blackledge: Great. Thanks. Couple of questions. For Tinder, could you talk about the Tinder Plus release in June, the new features. It appears to be mainly incognitive features. Are they rolled out currently in all geographies? Where they tested in markets prior to launch? And just your expectations for conversion and/or engagement. And then separately, in the slide deck you mentioned Match U.S. and Canada saw no seasonal decline in average PMCs for the first time since 2013. Just discuss the drivers, and if you could also update us on the timing of the Match.com mobile web offering, kind of update how that's going? Where we’re at? That would be helpful. Thank you.
Greg Blatt: Okay. On the June launch, it was a combination of things. There were, I think the primary new features were the sort of we’ll call privacy controls, there are a number of features in there. They are a conversion driver, they appeal to a group that the rest of the products doesn’t. That's sort of the nature of building the subscription business. Additionally we did a fair amount of other optimizations which are sort of below the radar, but they involve packages and pricing and rate cards and all these other stuff that's not sexy but drivers performance. And I’m pretty sure that the incognito stuff is rolled out globally, in terms of whether we tested it. And again, I don’t think we tested it, we didn’t test it at Tinder, but we have similar features at some of our other businesses. And so, we knew roughly what appeals to people, what doesn’t. Again there’s certainly difference’s from product-to-product. There’s a lot of commonality as well and so, one of the benefits we have, if you go back to that product side is, we developed incognito at I think Match and then did it with OkCupid, and then it -- and now with Tinder. So even test it at Tinder per se, but certainly tested it in other laboratories. In terms of, sorry what was the other question?
John Blackledge: On the Match sequential PMC stability?
Greg Blatt: Yes. I think again there is, I talked a lot about execution and consistency. We drove up and we had android improvements. We had some marketing efficiencies. We had improvements in reg capture, just as you -- you download the app and then what percentage of the downloads become registrations. We talk about conversion from registration, but you also have traffic to registration wins that you can get. We got some real wins there. So nothing that I -- there is no shiny button that we launched that says, here press this button and conversion goes up. It's just about execution which is a huge part of this business. In terms of mobile web, we’re working on all things across the board. I think that you’ll start to see some meaningful changes to mobile web by the end of this quarter or early fourth quarter, certainly this year. The product team is focused on it.
John Blackledge: That's great. Can I ask one more question?
Greg Blatt: Sure.
John Blackledge: What’s the mix of Tinder subs male, female?
Greg Blatt: In Tinder sub -- the Tinder subs are pretty focused male, much more so than the user base. And again, given the nature if that were the case at Match for instance that would be a real problem, because only subscribers can talk to each other. In a soft paywall business, it's irrelevant from an ecosystem perspective what your mix is of paid users, all that matters is what your mix is of users which is very healthy at Tinder. Obviously launch of incognito is sort of the first feature we’ve launched that is sort of more female focused, and we’re starting to see a rise there. So I think that it presents a real opportunity to us not dissimilar to how we’ve done at OkCupid and some of our other businesses where the first features that drove that soft paywall subscription business were male oriented, and you start to layer on top some female oriented features, and you start to get back to a balance. But I think the important point is that it's sort of irrelevant from a health of the ecosystem user experience business, what that balance of paid users is in those businesses. Right now it's male tilted.
John Blackledge: Thank you. Thanks so much.
Gary Swidler: Thanks, John. Go to the next question please.
Operator: And we’ll go next to Peter Stabler with Wells Fargo.
Peter Stabler: Good morning. Now thanks for the question, just a couple. Wondering if you could give us a little color on OkCupid and what’s happening there was called out, and if you could help us understand if there are any particular issues there that you’re working on? And then on OurTime, when you talk about the mobile conversion improvements, how is OurTime working on the mobile side? Is the age issue there make the mobile transition more difficult, and does that lead to lower expectations going forward or increased difficulties, any additional color? I appreciate it. Thank you.
Greg Blatt: Great. OkCupid -- OkCupid was a huge driver for us for three years. It had great growth. It really has sort of leveled off. I think that when you think about -- when I think about the future of this category, I think that OkCupid is being really well positioned, meaning as much as we love the hard paywall businesses which we do, they are as we know -- they are a huge cash generating machine, but they are slower growing than the soft paywall business. OkCupid is a soft paywall business with a great brand and a great product when you sort of do surveys etc. OkCupid really has a unique personality a special place etc. So I think it's really well positioned to grow. I think we had multiple management turnovers. You had sort of the original founding team moving on. I think in retrospect we didn’t do enough to sort of show that business up, integrate it into the broader institution to be prepared for that moment. And I think that it suffered a lot last year in terms of, on doing things that drove the kind of brand excitement and awareness that it has historically done in terms of data, controversy etc, if it didn’t do those things. And I think that from a product focus it just didn’t, I think it didn’t keep up over the last sort of 12 to 15 months. We’ve got new leadership in. There’s a fair amount of change going on institutionally. I’m very optimistic about it as a long-term brand. Again, more so frankly as many of our other brands, it is sort of incredibly well positioned to capture that sort of demographic, that it's incredibly growing demographic. So I feel really good about it. If this execution matters in this business, and I think that it's going to be couple of quarters before it starts contributing again to grow. In terms of OurTime, one the mobile side I guess that, the thing I would say is probably the most obviously is it's not necessarily that it's harder, but it's later. Meaning, the mobile transition has always been hard. It's just sort of happening at OurTime later than it’s happened at some of our other brands, because it's an older demo. And so, that I don’t have the numbers in front of me. But the -- where does it match, we’re sort of more at the end of that makeshift in OurTime lets say we’re more at the middle of it. And I also think that just, in terms of the last year when we were doing the big product and technology sort of consolidation project, People Media didn’t get the kind of product attention that it would otherwise have gotten, because resources were distracted. And now as we start to build them, sort of Match is getting the focus before People Media. So again, it's one of those things that in hindsight, I sort of, I understand why it's seeing some headwinds right now. We didn’t expect them to come as they did, but I understand them. Haven’t had really a new marketing campaign of moment, in a few years we’re changing that. So I think it's just about focus and energy and I expect it. It continues to be again, like OkCupid very well positioned. It really doesn’t have competition, but any scale it is a growing audience and we just need to focus on it a little bit more.
Peter Stabler: Thanks, Greg.
Operator: And we’ll take our next question from Jason Helfstein with Oppenheimer. Please go ahead.
Jason Helfstein: Thanks. I’ve asked in the past, is there a way to think about pre-registration growth in the conversions to paid. And is there a trend you can sight there. I know you put the conversion trends kind of for this quarter, but any kind of trending to think about? And then also, we’ve seen some changes in senior leadership. So just maybe give us some color there. Thanks. Brand leadership, not senior, well some of the changes at the brand level.
Greg Blatt: Sure. I think most of the changes actually happened in the prior quarter unless I’m missing -- we’ve got a new leader at -- we’ve got a new leader at OkCupid, Elie Siedman. So, I don’t -- in terms of like pure brand leadership, I think that the OkCupid one is the most recent one which I think we announced literally the day of the call last time whatever. So he’s been in place for three months. And as I said to the last question, started to make real progress, I think he’s going to be great, but it's too early to really show results there. Other than that, I don’t -- we hired a fair number of people at Tinder, but again I think all that with prior quarters. So, I don’t think there have been big changes in the last three months. Again, the Tinder, a very big influx of new leadership sort of during Q1 into Q2. New engineering, the new Head of International and new Head of Finance, new Head of Marketing, so big changes there. Other than that, I think relatively stable.
Jason Helfstein: What about Sam leaving?
Greg Blatt: Sorry, but that happened December 31. So, that was -- and we announced that, we announced that back in November that at the end of year I’ve become CEO as well as Chairman, and Sam was moving on and that happened December 31.
Gary Swidler: He went on the Board and become Vice Chairman. He is still involved but he is obviously not an executive here anymore. Now he has a new role.
Greg Blatt: That's right. So that's been -- we’ve been in that mode for six and half months or seven months at this point. And again, I think I’d like to think that it went relatively smoothly, although obviously there is always change. I think we’ve been executing really well. I think that there’s been no organ rejection that I’m aware of in terms of the new leaderships coming in, in a variety of places. I think it's gelling pretty well, and again I think our execution is improving nicely. In terms of the other question, I know you asked that last quarter, and we really should come up with a better way to sort of frame that on a long-term consolidated basis for you. I think again it's hard because you have so many different growth trajectory, it's not -- we really do look at it from a bottoms up sort of business-by-business perspective, and so it becomes sort of a reverse engineering in some ways onto this thing. I think we talk about the trends clearly conversion within each business should be growing now, and we’re seeing that again after several quarters of decline. Because the mobile chip in general within each business we’re improving conversion. We are not -- in some of the business where we pulled back marketing this year we’re not sort of growing regs meaningfully, because they are by definition market independent. We expect to start stepping that up again in Q4. So there’s a lot of different moving pieces. In general we expect users to continue to go up, penetration to sort of be flattish to slightly down as those users go up and makeshift occurs and ARPU as PlentyOfFish sort of anniversaries, and Tinder grows to decline, but much more modestly on a ongoing basis than it has over this last sort of year and half where we had the seismic shift of Tinder going from zero to meaningful and PlentyOfFish coming into the system. So those are sort of the macro-trends, they’re not really different than what we called out in the IPO. They continue to be the case. But in terms of giving you the miracle sort of consolidated model, we still will use something on that. It's not so easily done, and we will work on it.
Jason Helfstein: Thank you.
Operator: We’ll go next to Chris Merwin with Barclays. Please go ahead.
Christopher Merwin: All right. Great. Thank you. Just had a couple of questions. I guess first, how did PlentyOfFish perform in the quarter relative to your expectations? And as it relates to your efforts to increase revenue per user, how is that going and have you been able to follow that same playbook as OkCupid? And then just secondly on the advertising business, I guess there’s some of the part of the challenge at least in the near term that with programmatic the opportunity you might be somewhat more limited and you really need to also ramp the direct sales efforts to capture some big budget advertisers. And do you get the sense that the demand is there or just a function of putting the people in place to capture that demand? Thanks.
Greg Blatt: I think POF has been pretty much on plan, since we bought it it's been up or down a little bit and it's had this upside, but in general it's on plan. So we really feel good about it, driven again mostly by this increasing modernization and sort of rolling out these features going very well sort of again, boringly as expected. So that's good. In terms of the ad stuff, we think it could be a mix of direct and programmatic. Again, I’m learning this world on the fly, but it's becoming a more complicated world. You’ve got private marketplaces that are direct sold, but sort of programmatically delivered. And so you get these world blending. We’ve ramped a sales force. We are going to be in that world as well as the straight programmatic world. We do think that's an important part of our growth. I think the problem for us is that, we haven’t really even landed exactly on what the ad unit it, and what the frequencies are and all the rest, because we haven’t really been able to get touch the code in a meaningful way to sort of create that. So we’ve sort of been selling what we we’ve had to sell and we’ve grown revenue in that way. But we’re reluctant to sort of really push that ahead meaningfully until we sort of are able to more systematically assess what we want this business to look like, and we haven’t really had access to do that yet. We expect to do that in the balance of this year, and we expect to be poised to sort of really start growing that revenue in 2017. But we certainly don’t think there’s a lack of demand. We don’t think there’s a lack of resources dedicated to direct sales, and we think that it will make a meaningful part of that business going forward.
Christopher Merwin: All right. Thank you.
Gary Swidler: Operator, let’s try to just get one last question in here. I think that's all we have time for.
Operator: Okay. And we’ll take that from Nat Schindler with Bank of America Merrill Lynch. Please go ahead.
Nat Schindler: Yes. Hi, guys. I wanted to just ask, I know it sounds ridiculous because they are very different products, but the phenomenal one has been so strong. I wanted to know if there’s been any effect on your business. Has Pokémon Go affected Tinder usage in the last couple of weeks, particularly that's so big in some geo’s where you are particularly strong with Tinder for example, New York City. Also if you could comment a little bit, I saw some interesting ad units, more native style ads built into Tinder. I think it was for Mike and Dave Need Wedding Dates, some movie. Can you describe these type of ad units, and do you think kind of custom ad builds like this is a way to really drive high CPMs and could be a significant portion of revenue longer term or is this just a one-off?
Greg Blatt: Okay. I think on the Pokémon Go, I have not done forensic assessment. I do know that this last weekend was Tinder’s biggest weekend ever. So I don’t -- so I haven’t seen any correlation or assumed one, but I also haven’t looked for one. But from what I have seen without looking forward, the answer would be no. In terms of customer ads, we’ve always done, I’m familiar with that ad unit. I think we’ve done things like that before. One of the things we have to offer is the ability to engage on this life and to offer sort of a post life experience and all that sort of thing. I think it will be a part of our business going forward undoubtedly. I think it's a CPM riser. The ability to which that scales in connection with the private marketplaces and the programmatic and sort of the more standard direct sales, is this thing that I can’t answer yet, because we haven’t really started to roll that out. But I do expect that those kinds of units that are especially they are not just native placements but they are sort of higher engagement units that are higher CPM units to be part of the ad business at Tinder going forward.
Nat Schindler: Okay, thank you. And one last question if I may, I know this is not really you anymore Greg, but I wanted to know if you have any insight into the thinking that I see on what they want to do long-term with their ownership in Match and how you might see those shares getting more into the tradable world?
Greg Blatt: I think that's a great question for Mr. Levin and Mr. Schiffman on tomorrow's IAC call. So I would simply say that I don’t have any information other than what we’ve talked about before. So, you’ll have to pose that to them.
Nat Schindler: Thank you very much.
Greg Blatt: All right. Thank you everybody. We will see you next or talk to you next quarter. Thank you.
Gary Swidler: Thank you.
Operator: And this will conclude today’s program. Thanks for your participation. You may now disconnect, and have a great day.